Operator: Greetings. Welcome to the Altigen Communications Second Quarter Fiscal Year 2023 Results Conference Call. [Operator Instructions]. I will now turn the conference over to your host, Carolyn David. You may begin.
Carolyn David: Thank you, operator. Hello, everyone, and welcome to Altigen Communications Earnings Call for the Second Quarter Fiscal 2023. Joining me on the call today is Jerry Fleming, President and Chief Executive Officer; and I'm Carolyn David, Vice President of Finance. Earlier this afternoon, we issued an earnings release reporting financial results for the period ended March 31, 2023. This release can be found on our IR website at www.altigen.com. We have also arranged a replay of this call, which may be accessed by phone. This replay will be available approximately 1 hour after the call's completion and remain in effect for 90 days. The call can also be accessed from the Investor Relations section of our website. Before we begin our formal remarks, we need to remind everyone that today's call may contain forward-looking information regarding future events and future financial performance of the company. We wish to caution you that such statements are just predictions and actual results may differ materially due to certain risks and uncertainties that pertain to our business. We refer you to the financial disclosures filed periodically by the company with the OTCQB over the market, specifically the company's audited annual report for the fiscal year ended September 30, 2022, as well as the safe harbor statement in the press release the company issued today. These documents contain important risk factors that could cause actual results to differ materially from those contained in the company's projections or forward-looking statements. Altigen assumes no obligation to revise any forward-looking information contained in today's call. During this call, we will also be referring to certain non-GAAP financial measures. These non-GAAP measures are not superior to or a replacement for the comparable GAAP measures, but we believe these measures help investors gain a more complete understanding of results. A reconciliation of GAAP to non-GAAP measures and additional disclosures regarding these measures are included in today's press release. Now it is my pleasure to turn the call over to Jerry for opening remarks. Jerry?
Jeremiah Fleming: Thank you, Carolyn, and good afternoon, everyone. Thank you for joining us for today's call. So I'll begin the call today with a brief review of our second quarter results, followed by a brief update highlighting each of our lines of business. I'll then turn the call back to Carolyn for a detailed review of our financials. So earlier today, we reported revenue of $3.4 million for our fiscal second quarter, a 32% increase compared to our fiscal 2022 second quarter revenues. From a P&L perspective, we recorded a GAAP loss of $140,000 for the quarter and a non-GAAP net income of $96,000. Compared to the prior quarter, revenues for software assurance and services decreased by approximately $180,000 while software and cloud revenues increased by about $96,000. Perhaps most importantly, our cloud revenues increased by approximately 4% quarter-over-quarter, which is reflective of our new solutions beginning to make a contribution. And let me correct that $96,000 in session -- $93,000. I can't read, so I apologize.  But based on my intro, I'm going to now provide a more detailed update on each of Altigen's 4 lines of business. The first line of business is our legacy Altigen business, which consists of our MaxCS PBX, which we deliver as both an on-premise and hosted PBX solution along with our SIP Trunk or Voice over IP services. As we discussed in prior calls, we are in the early stages of upgrading our MaxCS customers to our new MaxCloud platform. MaxCloud introduces a complete new suite of unified communications features, including real-time presence, instant messaging, desktop sharing, HD video conferencing and new mobile unified communications applications, none of which are available in our legacy MaxCS hosted or on-premise solution, and all of which are required by today's modern businesses. Now as a reminder, we have over 300 MaxCS legacy PBX customers, totaling approximately 10,000 cloud subscribers. We also have more than 500 on-premise MaxCS PBX customers, which total more than 30,000 users. We are targeting all of these users for conversion to our new MaxCloud platform. Now the largest revenue opportunity is for our MaxCS PBX on-premises customers, for which today, we are recognizing approximately $700,000 in software assurance or software maintenance annually. However, the incremental revenue potential by migrating these customers to our new MaxCloud platform is $3.5 million to $4 million per year. Now to be sure, we must approach each customer on a one-by-one basis to sell them on the benefits of the cloud in general and MaxCloud in particular. However, as we migrate the on-premise customers to MaxCloud, plus add net new MaxCloud customers, I am estimating that the Altigen legacy PBX business will grow by 5% to 10% on an annualized basis. Now of course, we also want to make sure we protect our current base of hosted MaxCS PBX customers. Again, these are the legacy customers that are hosted in the cloud, and we want to prioritize as well migration of these customers to our new MaxCloud UCaaS platform based on their desire to add the UC functionality. The primary benefit here is not so much revenue but it is to retain these customers and avoid churn. From a metrics perspective, as of the end of March, we had approximately 20 new cloud customers split evenly between legacy migrations and net new cloud customers. Our second line of business is financial services, which also consists of our legacy PBX solutions; our interactive voice response platform, which I'll refer to as IVR and which you may know as a Bank by Phone application; our SIP Trunk services; and the FrontStage Contact Center as a Service or CCaaS solution. As an Altigen business partner, Fiserv is our #1 partner, and they're unique in that they host the Altigen solutions in their data centers and market them under the Fiserv brand to their bank and credit union customers. Today, Fiserv has approximately 90 legacy Altigen PBX customers. About 1/3 of those are hosted and about 2/3 are on premises. All of them are targeted for conversion to our new MaxCloud platform. In addition, Fiserv has approximately 1,500 IVR customers on the Altigen platform. In this case, approximately 2/3 of them are hosted and about 1/3 still on-premise, which are also their primary targets to add MaxCloud and FrontStage to the IVR platform. Fiserv plans to migrate their approximately 30 hosted MaxCS customers to the new MaxCloud UCaaS platform because these customers need to be moved to a new Fiserv data center by the end of the year as the current data center is going to be shut down. In the second wave, they would be targeting their base of 60 or so legacy on-premise MaxCS PBX customers also to migrate to the new MaxCloud platform. Out of these 90 or so customers, about 30 of them between the premise and the cloud customers also have the Altigen legacy contact center platform. They will also be targeted for conversion to our new FrontStage CCaaS, Contact Center as a Service platform. All of these customers on-premise and in the cloud represent incremental revenue to Altigen in terms of additional UCaaS revenue, CCaaS revenue or, in some cases, both. Our new FrontStage CCaaS platform has now been deployed for 3 Fiserv customers with additional 3 customer deployments scheduled later this year. The pipeline and prospects for FrontStage remains strong with Fiserv. In addition to the MaxCloud UCaaS, Unified Communications as a Service, and FrontStage CCaaS, Contact Center as a Service platforms, Fiserv's 1,500 IVR customers are also now being targeted with Altigen's new secure SIP solution. For those of you not familiar with this service, it is a secure VoIP phone service designed to prevent fraud by verifying both the caller's device and the voice print of the callers calling in to access their accounts and then preventing unauthorized access to those accounts. Because the secure SIP service requires integration of multiple Fiserv core processing systems, which runs the bank or credit union, we will be doing a phased rollout as each core system is supported. Ultimately, the plan is for this service to be available for all Fiserv customers. To give you an idea of the opportunity at hand, approximately 4 million minutes of phone calls flow through the Altigen Fiserv IVR systems today. We expect this to increase to approximately 6 million minutes as new IVR customers and features are added. The revenue potential to Altigen for this new secure SIP service, assuming 100% adoption, is over $10 million per year. The top 50% of the IVR customers represent over $7.5 million annually in new incremental revenue. All of these solutions, MaxCloud in UCaaS, FrontStage CCaaS and secure SIP continue to be rolled out to Fiserv customers, and we do expect to see increasing cloud revenues as traction is gained. Ultimately, we believe our Fiserv revenues have the potential to grow at a rate of 75% to 100% annually. Our third line of business, Microsoft Team Solutions, which primarily consists of our CoreInteract platform, FrontStage for Teams and our direct routing SIP Trunk services for Teams. Today, the majority of our Teams solutions revenue is derived from our direct routing SIP Trunk service, which also continues to grow. We also expect to see increasing contributions from the FrontStage CCaaS platform and CoreInteract as these products hit the market and gain traction. Now FrontStage, which is the same CCaaS platform that we're selling to Fiserv with MaxCloud, is being adapted for use of Microsoft Teams. While FrontStage is not yet available for Teams, we do expect to see the inaugural Teams release sometime in calendar Q3. At which time, we can start marketing that to our Microsoft Teams customers. Now as many of you know, we do view CoreInteract as our flagship offering in our Microsoft Teams solutions business. Over the past 2 years, AltiGen has invested over $7.5 million in research and development with much of that investment being in CoreInteract. This has enabled us to introduce the first true digital customer engagement platform specifically designed for Microsoft Teams. And unlike any other vendor that I'm aware of, we are really pushing the envelope with our extensive and pervasive native Teams integration with CoreInteract, which has resulted in a solution generating quite a bit of interest from resellers and customers alike. However, pushing the envelope has also caused CoreInteract to be at the forefront of uncovering, what I'll call, anomalies in Teams that has simply not been anticipated or planned for by Microsoft. As a result, we've had to focus an undue amount of attention on responding to issues primarily due to these anomalies. So our recent focus has been on supporting these customers and creating workarounds where necessary to make up for those Teams anomalies or deficiencies as customer satisfaction is critical to the success of CoreInteract. I can tell you that our customers remain excited about CoreInteract and are looking forward to continuing their rollouts as the Teams-dependent functions become available or workarounds are otherwise introduced. As an example, in the second quarter, we deployed CoreInteract for a customer in the media business. In this case, we actually had a number of new capabilities to CoreInteract to support the customer's business requirements and also had to develop quite a few workarounds for Teams functionality not working, what I'll call, as documented. This customer has 45 agents and is taking upwards of 1,000 calls daily and is continuing the rollout to additional agents. As the issues that I mentioned with Teams are resolved, which will allow for a much smoother operations, we expect to be able to attract many other customers having similar requirements to the company I just mentioned. More importantly, once we get this rolling, this will enable us to achieve our target of 100% annual revenue growth. Our fourth line of business is services, which consists primarily of the ZAACT Consulting business and project-based services as well as the Altigen professional services group, which has been merged in with the ZAACT group. As evidenced this quarter, the services business will experience ups and downs as project deliverables and associated milestone payments don't necessarily align with financial quarter ends. We do expect to see moderate growth from this services line of business as we extend our custom development work and as new project opportunities such as ChatGPT come into focus. So with that, I will now turn the call back to Carolyn to discuss our financial results. Carolyn?
Carolyn David: Thank you, Jerry. We reported total revenue of $3.4 million for our 2023 fiscal second quarter, up 32% compared to the same period a year ago. Total cloud services revenue for Q2 was $1.9 million, the same for Q2 last year. Professional and other services revenue increased 729% to $1 million compared to the prior year quarter, reflecting the ZAACT acquisition. Our legacy on-premises license and software assurance revenue was $451,000, down 19% on a year-over-year basis. Gross margin was 63% compared to 70% in Q2 last year, representing a decrease of approximately 700 basis points. This decrease was primarily the result of a mix shift towards higher professional services revenue resulting from the ZAACT acquisition. GAAP operating expenses for the quarter totaled $2.3 million, 32% higher than the comparable period last year. On a non-GAAP basis, operating expenses totaled $2.2 million for Q2 compared to $1.7 million last year, representing an increase of roughly 33%. Excluding the impact of ZAACT, both our GAAP and non-GAAP operating expenses totaled roughly $1.8 million. This represents an increase of 5% and 6%, respectively, compared to Q2 last fiscal year. This increase was primarily the result of higher headcount-related expenses in connection with the launch of our new products. GAAP net loss for Q2 was $140,000 or negative $0.01 per share compared to GAAP net income of $65,000 or $0.00 per diluted share in the prior year quarter. GAAP net loss included $197,000 in depreciation and amortization and $30,000 in stock-based compensation expense that was adjusted out of our non-GAAP net income of $96,000 or breakeven diluted EPS. Now let's turn to the balance sheet. We ended Q2 with $3.4 million in cash and cash equivalents, up 17% compared to the preceding quarter. Our working capital was $2.1 million, consistent with the prior quarter. This concludes the financial summary. I will now turn the call over back to Jerry. Jerry?
Jeremiah Fleming: Thanks, Carolyn. Okay. So as we see it, we're now finally close to exiting our heavy investment phase and are beginning to enter a new growth phase. The investment phase refers to the substantial investments we've made in our new UCaaS and CCaaS platforms, our new digital customer engagement solution, and the new secure SIP service offering. This also includes investments we made in our new ordering and provisioning online portal and new integrated billing platform, both of which were required to scale our business. Most of those things are behind us now, and we're really coming to the end. But as evidenced this quarter, we are now in the early stages of demonstrating incremental revenue growth with our new solutions, which we expect to build upon going forward. Understand, these are not earth-shattering numbers, but we've got to start somewhere. And of course, we will continue to update you on our progress on each of our quarterly calls. So I'll now turn the call back to the operator for Q&A. Operator?
Operator: [Operator Instructions]. The first question is from Neil Cataldi with Blueprint.
Neil Cataldi: Jerry, nice quarter. Cloud services growing 4% sequentially is definitely a good sign of, hopefully, what's coming. A few questions, if I may, to dig a little deeper. Regarding Fiserv, you mentioned the customers who've deployed your solution thus far. Can you talk about engagement size? What is the largest active customer generating per month in terms of revenue? And are they fully deployed today?
Jeremiah Fleming: Yes. That's good questions, Neil. And like you said, hey, 4%, that's a start, right? And we expect that to continue to improve. Regarding Fiserv, it ranges based on the size of the customer. Actually, the size of the deployment maybe is a better answer. And so the good revenue is really driven by the contact center. So we probably have a low end of around $5,000 a month, and our largest to date, of these 3, not a penny more, is around $25,000 a month in revenue. And that would be based [indiscernible]
Neil Cataldi: Okay. So your largest -- yes. So your largest customer with the contact center today is generating $25,000 a month. That's great. And then sort of same question but on the TRUSTID side, how should we think about that? And what are the customers there already generating?
Jeremiah Fleming: Yes. Well, this is definitely just getting started, okay? So as I mentioned, we've got 1,500 IVR customers to target. Finally, the -- we've delivered on our capabilities and Fiserv has delivered on the integration they need on their side. So we have 2 customers live on the platform today. The one -- now the first customer that uses only TRUSTID, not the voice biometrics but only TRUSTID, that revenue is $5,000 a month. The customer that we've newly signed -- actually, this is only -- this solution doesn't have the contact center, by the way. They have both the TRUSTID as well as the voice biometrics, and that's about $8,000 a month just for that secure SIP service. These are -- so that's the first 2 of 1,500.
Neil Cataldi: Got it. That's great. So those are good case studies. It sounds like we finally got some customers fully paying, and it's really just a question now of when, not so much if. One more question regarding Fiserv. Do they have any personnel dedicated to the sales operation? And maybe for those newer to the story that might be listening, since the Altigen products are white labeled to them, are they only selling your unified communications product? I mean they're not selling anyone else. It's just you, correct?
Jeremiah Fleming: Correct. Yes, I can provide a little more color on that. So Fiserv does have -- as a result of their merger with First Data several years ago, they do have an outsourced group, and they do offer contact center and IVR and a couple of pieces for the very large customers, not for our target market. And they view us -- and I'm saying very large customers, I'm talking about Wells Fargo and Bank of America. So their target with the Altigen solutions is the other 90% of the customers, right, that aren't those guys. And so yes, in that group, we are -- they exclusively sell our UCaaS platform. It's hosted in their data center, so they exclusively host us as well. They exclusively sell our contact center solution hosted in their data center, and they exclusively sell our IVR solution hosted in their data center. And their sales reps are commissioned on our solutions just as if they were Fiserv products. So yes, we have a tremendous opportunity with them. And as I'll just add before you ask, because you might, why don't we sell more? We're in the passenger seat, and we are trying but Fiserv will dictate when they roll things out. But I believe that we've proven to them now with these new solutions -- and they're all new. Everything we're talking about has been released very recently. Now they're starting to get on it, and I think we're going to see some different results going forward.
Neil Cataldi: Okay. Great. One more on Fiserv with the migrations you touched on. Is there any way you can quantify what the up-sell revenue opportunity is with the 30 that need to be migrated by the end of this year?
Jeremiah Fleming: It really depends. That's a good question. On those 30, it's going to be -- when they migrate from our legacy PBX to the new UCaaS platform, that cost will be about the same. Those customers that have contact center on the legacy platform, we do voice only. So hopefully, I won't get too technical here. The new platform is omni-channel. So what that means for everyone is omni-channel adds to voice, right? In other words, you can make a phone call and then talk to an agent. Omni-channel means that you can also e-mail or instant message or come into the website or come in through social media and also connect with an agent that way. The new FrontStage platform has that omni-channel capabilities -- capability. All of those customers want that. So it's somewhat dependent upon when they adopt that where we'll see that incremental revenue, Neil. So it's hard to say. On the on-premise side, and there's roughly 60 customers on-premise, there will be a market increase. And again, I don't know how much contact center they'll add, but it will be a marked increase in revenue because they will be going from just paying us software assurance today and roughly 5x or more of that number in revenue to Altigen when they migrate those customers to the cloud. So I can't quantify it because I don't know what features they're going to select. But it's going to be -- it will be material.
Neil Cataldi: Is it a similar range to the other contact center customers you were just discussing, $5,000 to $25,000?
Jeremiah Fleming: Yes. For those customers, yes. For those customers that choose, yes, the contact center, the full omni-channel, absolutely because the $5,000 is basic. The $25,000, yes, they've got the full boat. So yes, to the extent that those customers choose the full boat. And again, it depends. It's not like a one size fits all, so it depends how many agents as well are utilizing the solution. So -- and the customers vary in size. But yes, we'll see that same range, that roughly the 30-plus contact center customers that I mentioned that will be migrating out of the 90, 30 have contact center. Yes, then I would expect to see that $5,000 to $25,000, I'm sorry, range monthly once those customers are fully deployed in the cloud.
Neil Cataldi: Okay. Great. And then one last one, different topic. You talked a little bit about ZAACT and new opportunities for them. I just wanted to clarify, do you mean opportunities specific to Altigen products? Or are they pursuing other professional services development projects unrelated to what we might call the regular Altigen growth initiatives?
Jeremiah Fleming: Right. No, good question. Very good question because that's what they were doing, obviously, before we acquired them. So they are continuing to pursue those opportunities for their essentially Microsoft stack, so all Microsoft product-based custom development projects. And they've got a couple of very nice customers, so they are continuing to pursue that. The new in terms of extending current projects as well as new projects, it's on -- and that's what they do, if you will. On the Altigen side, yes, we are responsible for pulling them into the new opportunities, which would include systems integration, for example, integrating the Altigen products into CRM products that the ZAACT's personnel would perform. And then the biggest project that we're sizing up right now and hoping to launch in the financial services sector is ChatGPT with Microsoft, and the ZAACT folks will be doing that as well.
Operator: The next question is from Maj Soueidan with Geoinvesting.
Maj Soueidan: Thank, Jerry, for taking this question. A real quick one. I just have one question regarding resellers. I think when you were in Vegas with our chat, you had talked about looking to bring on some new resellers to help you sell some of your products. I was wondering if you could get more specific in terms of what these resellers -- how they're different than what the resellers you may have right now and what you're hoping to gain from them in terms of product deployment.
Jeremiah Fleming: Absolutely. Well, let's keep in mind in Vegas, I was sitting right next to you, and I think you were holding the microphone over my head, so I had to answer it. So I'll do my best here, Maj. Yes. And yes, we are working on some very large resellers. And we have some very nice resellers now. Most of the resellers we have, I'll call them regional providers, and they're typically Microsoft and providing Microsoft services to regional customers. We have -- and it takes a while, but we have been pursuing some very large resellers. And I think we're very close to closing at least one, if not more. And I'll just -- I can at least tell you that these resellers are some of the world's largest service provider companies or telcos as you might consider them. So I can't disclose because I don't -- I've got contracts signed, but I don't have their permission yet to announce at least in one case. But yes, absolutely going for that because that's where the real volume comes from. And I think we're getting very close to that point. And the nice thing is when I can land one and we show that success, we'll be able to land more. And yes, so it's exciting opportunity. I just can't quite quantify it or disclose at the moment, Maj.
Maj Soueidan: That's fine. I mean, have they given you any kind of feedback on the products and how they -- the advantages they might have? I mean, do they kind of confirm what you're talking about? And then when you do sign them up, can you give me an idea of how long it might take for them to get like a runway where they could start getting the product out there?
Jeremiah Fleming: Sure. And it probably depends. Each one may be different, so I'll just give you the one that we're really close on. And I was actually in a meeting with them over in Europe 6 months ago. And they sell -- I'll just give you an idea. They sell all the usual suspects in the contact center side. So Genesys and Five9, Avaya, Cisco, right? And for those of you that may not be familiar in this call, I mean, those -- Avaya and Cisco are the long-time telephony players with contact center. And Genesys and Five9 are 2 of the long-time very successful hosted contact center players. And their specific comment to us, we sat in an all-day meeting with them, CoreInteract is exactly what our customers are looking for, okay? So that's -- this is the validation that I talk about. Yes, for those customers that want the big expensive giant 10 people that have to be full time to maintain a contact center because that's all the company does, that's what those other vendors' work are for. Where we come in is this enterprise contact center, right, that they don't have those extreme requirements, 24/7 contact center like an -- I'll say, airline reservation-type center requirements, and they want to sell a solution to deliver what they need, and they're not going to pay and they can't afford to pay the ridiculous amounts of money that the big boys charge in those cases. So yes, that one.  And I'll tell you how quickly they ramp up. They've got a bunch of customers. We had a meeting with them 6 months ago. A month ago, we did a training to have 50 salespeople focused on this particular area as overlay people. We did the training session for them. They're actively bringing us into customers now. Now they don't all work the same way, but that will give you the idea when we get in front of them, they get what we're talking about.
Maj Soueidan: Excellent. I guess good to hear. And I have one more question. Just doing some research around the industry and talking to other companies in the industry. Some of the -- there's a trend that's kind of been brought up to me, where you're seeing some maybe of the larger players in the industry maybe not taking -- paying too much attention maybe to the second and third tier kind of their own clients and maybe paying more attention to their top bigger clients? Are you seeing that same trend? And do you see that an opportunity you guys can pursue at all? I mean I wonder if you're just seeing the same thing.
Jeremiah Fleming: Well, so many of these -- we really focus on the larger -- by the way, when I say enterprise customers for us, I'm talking about an organization of 500 to 5,000 people, okay? Not the General Motors of the world, right? But these are still very large companies whose operations are predominantly in the U.S. and then if they're not in the U.S., in the U.K., where we can properly support them. But the smaller customers that maybe second and third tier, those are brought to us by resellers, so that's not our outward push. We do secure a number of those and that, I don't know, Maj. I really can't -- I haven't seen it. It doesn't mean it's not happening, but I don't -- what Microsoft has done that helps us out a little bit, they've made some discounts on their licensing for those smaller companies, so those customers can get into Teams' phone system. And that does create additional opportunities for us to then sell our applications on top of Teams' phone system, so that's probably the biggest benefit that we would see.
Maj Soueidan: Okay. And then one last question. I mean at what point do you say to yourself, hey, you have some traction here. The stock is trading at $0.50, $0.60. Where do you -- when do you make the decision as a company to say, hey, we got to go on there and do something with the stock and do a tender offer, buy some stock or something? Because I mean it's getting to the point, I think, where I think the market needs to see that, to some degree, that you're serious about what's going on here and you back it up, right? So I'm wondering if you can talk about that a little bit.
Jeremiah Fleming: Well, I know you're a large shareholder. You know I'm a large shareholder. And of course, that is never far from top of mind. What I'll tell you right at the moment, and we've had questions about this, and I've had conversations with the Board of Directors. At the moment, we've made -- really, our first job, in my opinion, and the director's opinion, job one, get these products out the door, get them working, build the momentum, right? Let's put our investment in that. If we do not get rewarded for our performance, let's take some shares out of the market. That's the general feeling.
Operator: [Operator Instructions]. We have one question coming from Chris Schreiber with Taglich.
Chris Schreiber: I just had a couple of real quick questions and a follow-up to Maj's. How many employees do you have right now in the company?
Jeremiah Fleming: Carolyn, can I defer to you on that? Around 70. But Carolyn might give a...
Carolyn David: That is correct. We're right around 70.
Chris Schreiber: And the 70 -- so you have 4 business lines. Do they interchange business lines? Or is there a specific number towards one business?
Jeremiah Fleming: Yes, that's a good question. So let me try to answer it as best as I can. So we have -- there's a kind of a wide big group of, I'll call, shared services, right, that includes G&A and support services and deployment services that cuts across all the businesses, and they're cross-trained. And then we have specific areas of focus mostly on the sales and marketing side and then on the development side as well. So sales and marketing, on one hand, for those lines of business, plus development because the developers are specialized in those -- each of those 4 lines of business. And so that's how we're able to accomplish that. And specifically, let me address Fiserv. For example, we don't have a tremendous number of resources on Fiserv because they have a tremendous number of resources on our solutions, so it does vary on how much we put into a particular LOB.
Chris Schreiber: Okay. And then I have one other question. Just following up on what Maj's comments were. I see that you -- I assume you don't have an IR consultant anymore. What are you doing? I'm sorry. Go ahead.
Jeremiah Fleming: Go ahead. Sorry, I thought you were done. I apologize.
Chris Schreiber: So what are you doing to go out and tell the story? I understand you were at that Vegas conference. But do you have anyone to plate inside or outside that's dedicated to getting out and telling the story?
Jeremiah Fleming: Well, we don't at the moment. But I will have to tell you, there is a method to the madness and I'm not sure if you're affiliated with IR firms. But the money we were spending with the IR firm, there was not the return on the investment. And so we have to make decisions. I'm not going to put money into an IR firm to not bring any new shareholders into the fold. Are we going to put that money into the business to grow it? At which time, we're going to start attracting new shareholders as a result of our business performance, and that was the decision that I made.
Chris Schreiber: Okay. Well, respectfully, it doesn't hurt to get out on the road, whether you're hiring an IR guy or you just getting out into conferences and talking to investors.
Jeremiah Fleming: I hear you. I would -- not sure I agree with you, but I hear you.
Chris Schreiber: Okay. Well, Jerry, let me just -- let me touch upon this. Like if you look at all the old transcripts, I think this is the first time in probably 3 years you've had more than 1 or 2 perhaps. This is the first time in 3 years, I think, that you've had 3 guys on the call.
Jeremiah Fleming: So question. So you're absolutely correct. Yes. But is there a question there?
Chris Schreiber: Yes. But I mean -- so it's like -- I think you guys have got to look at that, right?
Jeremiah Fleming: Okay. I'm not sure what the comment is. We have more than 3 people on the call, so I'm not sure what the comment is.
Chris Schreiber: Well, guys that ask questions. If you look at the old transcripts, you can see that. And I'm just telling you, I just really believe you need to go out and find new investors. And if you don't have a good IR firm, find somebody. Just this is my...
Jeremiah Fleming: We're well aware of that. I'm not sure -- I'm sorry, I'm not trying to be argumentative. I'm not sure what the argument is. So we don't have an IR firm, yet we have more people asking questions. I'm not sure how that ties in with the argument that we should have an IR firm. Sorry, I don't understand.
Chris Schreiber: I'm friends with Neil. That's why I'm in the stock, okay?
Jeremiah Fleming: Okay. Neil is a good IR man.
Chris Schreiber: And I know , and I'm just being very direct with you. Like I've been buying stock and I'm very frustrated as an investor. And if you just look at all the last transcripts and all the acquisitions and all of the -- hey, we're going to do this, this and this, it's extremely frustrating. If you're an investor for -- you've been there for 15 years, I think. You guys have got to get out and tell the story. I'm just being very -- I'm trying to be respectful. It's just very frustrating. It's kind of like [indiscernible]
Jeremiah Fleming: I hear you. Can we have a one-on-one call? I think that might be more productive, if you don't mind. I'm certainly interested in your perspective, yes. But I would love to have that with you.
Chris Schreiber: Okay. Thank you.
Jeremiah Fleming: And I don't disagree with you. Don't get me wrong. I don't disagree. What I was trying to say is that at the moment, right, while we're building this market, that we still have to make the decision where the best use of our expenses are. And that my decision what the best use wasn't at this moment on IR. Now this is a temporary situation. I'm not expecting -- we're not going to -- we'll never have an IR firm. I'm just saying at the moment. But well, you and I can talk about that and more than happy to hear your input.
Operator: Okay. We have no further questions in queue. I'd like to turn it back to management for any closing remarks.
Jeremiah Fleming: Okay. Well, thank you, operator. And yes, so apparently, guys, we will take a look at the IR situation. I'll say that. It sounds like tongue in cheek, but I'm serious about that. And we certainly do appreciate your participation. I just want to reiterate at the moment, we are focused, heads down, get these solutions out the door, start building momentum, that everyone can see that's demonstrated in terms of revenue. That is what we're focused on. And so we certainly look forward to giving you guys updates on our subsequent calls and hopefully demonstrating that performance. So thank you very much, everyone, for participating.
Carolyn David: Thank you, everyone.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.